Kate Hickman: Hello everyone and welcome to Cerence's Second Quarter 2025 Conference Call. I'm Kate Hickman, VP of Corporate Communications and Investor Relations. I've been with the company for nearly eight years leading Communications and I'm excited to now be leading Investor Relations as well. I look forward to getting to know all of you. Before we begin, I would like to remind you that this call may involve certain forward-looking statements. Any statements that are not statements of historical fact, including statements related to our expectations, anticipation, intentions, estimates, assumptions, beliefs, outlook, strategies, goals, objectives, targets, and plans are forward-looking statements. Cerence makes no representations to update those statements after today. These statements are subject to risks and uncertainties, which may cause actual results to differ materially from such statements and expectations, as described in our SEC filings, including the Form 8-K, with the press release preceding today's call, our most recent Form 10-Q and our Form 10-K filed on November, 25th, 2024. In addition, the company may refer to certain non-GAAP measures, key performance indicators, and pro forma financial information during this call. Please refer to today's press release for further details of the definitions, limitations, and uses of those measures and reconciliations of non-GAAP measures to the closest GAAP equivalent. The press release is available in the IR section of our website. Joining me on today's call are Brian Krzanich, CEO; and Tony Rodriquez, CFO. Please note that slides with further context are available in the Investors section of our website. Before handing the call over to Brian, I would like to mentioned that we will be presenting at the TD Cowen Technology, Media, & Telecom Conference on May 29th and Evercore ISI Global Automotive OEM Dealer & Supplier Conference on June 10th. Webcast details will be provided soon. Now, on to the call. Brian?
Brian Krzanich: Thank you, Kate. Good afternoon, everyone, and welcome to the Q2 2025 Cerence earnings call. I'm really excited to speak with you today. Now, while Tony will walk you through the details, we're very pleased with the strong results the team delivered this quarter, exceeding the high end of our guidance with a revenue of $78 million and adjusted EBITDA of $29.5 million. Importantly, we generated strong free cash flow of $13.1 million, marking our fourth consecutive quarter of positive free cash flow. As a result, we are raising our full year guidance for adjusted EBITDA and free cash flow, and Tony will provide further details on this. I'm proud of our team and what it has accomplished despite ongoing macro challenges and uncertainty facing the automotive industry. We're focused on the future and believe that we remain well-positioned to support our customers. Cerence continues to be differentiated by our unique combination of technology innovation, our diverse and expansive customer base, and our deep automotive expertise. Our experienced management team and deep bench of talent are keenly focused on delivering to our customers and executing against our road map. As we anticipated and stated in our last earnings call, we did not see a meaningful impact from tariffs on this quarter's results. For Q3, we believe the impact will remain limited. However, we are seeing some pressure from our customers on pricing and some changes in their program time lines as they work to understand the true impact that tariffs will have on their businesses. We're working cooperatively with our customers to find ways to optimize our partnership to best support them during this time, while also maintaining favorable conditions for Cerence. Based on what we can see today and on currently available information for fiscal year 2025, we continue to assume minimal impact from tariffs. However, it's important to note that the situation remains fluid and may evolve over the remainder of the year. We continue to recognize the importance of differentiation and diversification. And as I've mentioned, we've had some great wins outside of automotive. We're building on that foundation to ramp up on our non-automotive efforts. For example, we're working to expand our partnerships with our network of distributors. You may have seen our announcement with Code Factory earlier this week. Together, we're introducing VoiceTopping, a new solution that will bring Cerence's conversational AI to self-service kiosks in a variety of settings. And we believe that this solution will be particularly relevant for things like placing orders and getting information in restaurants and hospitality, retail and self-checkout, health care, transportation, banking, and entertainment settings, enabling users to interact with kiosks using only their voice. We're continuing to identify new verticals where we think we have a solid value proposition and can win. And we believe we will see the impact of this work on our revenue and profitability in fiscal year 2026 and beyond. Another area in which we are strategically investing is IP protection. We intend to aggressively protect the time and effort Cerence has put into developing our innovative technology. And as you may know, we have ongoing lawsuits against Samsung for patent infringement. This week, we filed an action against Microsoft and Nuance for copyright infringement and breach of contract. As many of you know, these types of actions can take a long time to resolve and have risks, including loss of these actions. But as a company deeply rooted in innovation, we feel it's critical at this time that we take the steps to vigorously defend our IP. Of course, we also continue to make progress on three key deliverables planned for 2025 that I laid out in last quarter's call. First, we continue our work on Cerence XUI, our hybrid Agentic AI assistant platform. We reached several important milestones for XUI within the quarter, including the product's market launch, which coincided with an appearance at NVIDIA GTC in partnership with our customers, JLR and Renault. And we continue to evolve and enhance XUI with further edge and multimodal capabilities. Our teams worked hard this quarter to showcase XUI in both English and Mandarin at the recent Auto Shanghai 2025. This included new multimodal features within our CaLLM Edge embedded small language model developed in partnership with NVIDIA and MediaTek. This means we feed the SLM with car sensor data and camera-based video streams to create an experience that integrates context from both inside and outside the car, something no one else has done before. For example, XUI can explain or translate road signs, identify roadside buildings, and even offer details about something interesting on a billboard, which has the potential to open up new revenue streams for OEMs. In the coming months, we plan to continue to expand XUI's features and capabilities as well as increased language availability to serve automakers globally. We continue to see strong customer interest for XUI. We've signed several deals with top automakers, including JLR and have several more that we believe will close within the coming quarter. Additionally, we have a robust pipeline of ongoing customer interest with a steady stream of proof-of-concept programs. It's important to note that we can push out the cloud aspects of X UI over the air to existing programs that are already shipping. As OEMs navigate the complexity and ambiguity of the current market, we're well-positioned to help them continue to deliver new features and capabilities within their existing user experiences without having to invest in a full build-out or rebuild of their infotainment platforms. And we continue to build the pipeline for the hybrid cloud embedded aspects of XUI for automakers' future programs. The second key deliverable for 2025 is to continue growing our business with new and existing customers. even major customer programs started production this quarter, including the Mercedes-Benz Virtual Assistant within the fourth generation of MBUX first introduced in a new Electric CLA, Cerence's AI solutions serve as the core input and output mechanisms across 25 languages, enabling seamless interaction across the platform's agentic architecture, including Mercedes new Avatar. Additionally, emotion detection and embedded neural text to speech from Cerence AI enabled MBUX to deliver more natural and empathetic interactions. The previously announced 2-wheeler program with Kawasaki also started production as well as several China for the rest of the world programs with Great Wall Motor and Lincoln Company, among others. In addition, our Gen AI solutions went live with three customers, Hyundai, Kia, and PSA. The third key deliverable for 2025 is to continue our transformation and cost management. As you can see from our strong cash performance this quarter, we're seeing the real benefits from this work and it's being delivered to our bottom-line for our shareholders. In conclusion, we are encouraged by our second quarter results, especially with regards to free cash flow and solid path we have established ahead of us. And with that, I'll turn the call over to Tony.
Tony Rodriquez: Thank you, Brian. Today, I'll be reviewing our Q2 results for fiscal 2025 and providing some guidance for our third quarter and full fiscal year. Let's get into the Q2 operating statement. At the top, we achieved Q2 revenue of $78 million, which exceeded the high end of our guidance range of $74 million to $77 -- as projected, the revenue this quarter included $21.5 million of fixed license revenue contracts. With Q2 behind us, we expect no material fixed license revenue to be signed during the remainder of the fiscal year. As compared to the prior year, Q2 revenue increased $10.2 million, primarily related to the year-over-year increase in fixed license revenue of $11.1 million. This was offset by a decrease in professional services revenue. Additionally, as compared to our expectations, revenue was negatively impacted this quarter by the euro to dollar exchange rate. This fluctuation was neutral to profitability as it had a corresponding positive impact to our operating expenses for the quarter, and the euro has rebounded to our forecasted rate for April. Our gross margin for the quarter, of 77%, also exceeded the high end of our guidance range of 74% to 76% as our technology revenue constituted a larger percentage of the revenue mix than forecasted. Moving down the operating statement. Our non-GAAP operating expenses were $34.1 million for Q2 compared to $50 million for the same quarter last year. This decrease of $15.9 million or 32% represents savings from the restructuring efforts conducted at the end of last year. As compared to our forecast, we also continued to delay some planned R&D hiring until Q3 and had lower translated operating costs in our European subsidiaries with the euro to dollar exchange rate for the quarter. Additionally, the company received notice of acceptance of another international tax credit that allowed us to record a $2.2 million operating cost benefit catch-up. The tax credit benefit recognized this quarter was similar to the credit reported last quarter, but for a different jurisdiction. These credits reflect our continuing effort to maximize the R&D benefits in our offshore locations. While we do not expect similar catch-up amounts going forward, ongoing R&D costs will reflect in-period credits we have applied for. Our adjusted EBITDA of $29.5 million exceeded the high end of our guidance range of $18 million to $22 million and was $29.8 million better than the approximate $300,000 EBITDA loss for Q2 of last fiscal year. The improvement in non-GAAP operating expenses over prior year and expectations was driven by continued focus on managing operating costs and improving profitability. Our net income for Q2 was $21.7 million compared to a net loss of $278 million for the same quarter last year. In Q2 of last year, the company recorded a goodwill impairment charge of $252 million. This was a non-cash charge that only affected the GAAP results. Excluding the impairment charge, our net income still improved from last year by approximately $48 million this quarter. We ended the quarter with $122.8 million of cash and marketable securities, up $12.3 million compared to where we ended last quarter derived from our positive free cash flow during the quarter of $13.1 million. As we look at our revenue breakdown and operating metrics, variable license revenue of $29.9 million was up $4.8 million or 19% from the same quarter last year and slightly ahead of expectations. As mentioned, fixed license revenue during the quarter was $21.5 million compared to $10.4 million for Q2 last fiscal year. Q2 Connected Services revenue was $12.6 million, down $1 million or 7% from $13.6 million for the same quarter last year. However, in Q2 of last year, the company recorded a $2.6 million revenue true-up. We believe this improvement in Connected Services revenue reflects a positive sign of increased demand for connected vehicles. As planned, our professional services revenue was down year-over-year by approximately $4.8 million, but down a bit more than expected. As our solutions become more standardized, they become more easily integrated and require less of our professional services to integrate. Additionally, some OEMs are bringing more of this integration in-house. As we review our key performance indicators this quarter, total adjusted billings, which are defined as our total billings adjusted to exclude professional services, prepaid billings, and prepaid consumption was $224 million and flat to -- for the trailing 12-month period this year compared to previous year. Total billings, including professional services for Q2 of $77.7 million were also comparable to Q2 of last fiscal year. As a reminder, when we look at total licenses shipped, pro forma royalties is an operating measure we use representing the total value of variable licenses shipped in a quarter, including the shipments from fixed licenses where revenue was previously recognized upon contract signing. We refer to the shipments where revenue was recognized in the prior period as fixed license consumption. Our pro forma royalties were $39.7 million, which were comparable to Q2 of last fiscal year. Consumption of our previous fixed license contracts totaled $9.7 million this quarter, lower than the same quarter last year by about 33% and in line with expectations. As discussed in previous calls, we anticipated a lower level of consumption given the lower level of fixed contracts than historical periods. Our penetration of global auto production for the trailing 12 months ending this quarter was 51%. Approximately 11.6 million cars with Cerence technology were shipped in Q2, flat year-over-year and down 1.3% quarter-over-quarter. Q2 worldwide IHS production increased 1.3% year-over-year and was down 10.9% quarter-over-quarter. Excluding China, worldwide car production was down 3% versus the same quarter last year and down 1% quarter-over-quarter. This is important to note as it shows that a big part of the worldwide production decline quarter-over-quarter relates to the Chinese market and not to the regions where we are more predominant. To-date, we have not really sold to the Chinese OEMs for the China domestic market. The number of cars produced that use our connected services increased 10% on a trailing 12-month basis compared to the same metric a year ago. We believe this reflects increased demand for connected vehicles. So, last quarter, we discussed the possibility of introducing a price per unit or PPU operating metric, providing insight into pricing. For our business, PPU represents the average technology price per vehicle shipped, including both embedded license fee and connected services subscription. Although PPU is not immediately recognized as revenue at the time of shipment, it reflects the average per vehicle value that will ultimately be recognized. PPU is influenced by contract pricing, the take rate of technology features and the adoption rate of connected services. For Q2, the trailing 12-month average PPU was $4.87, up from $4.51 for the same period last year. This increase was primarily driven by higher attachment rate of connected services. 29% of vehicles were connected this quarter compared to 26% a year ago. We believe this growth in Connected Services reflects consumer demand for interactive technologies that allow users to control vehicle function and communicate externally through a unified interface. While we expect continued adoption of connected solutions, past performance does not guarantee future growth rate results. Our five-year backlog metric, which is currently approximately $960 million, which was consistent with where it was two quarters ago. Now, turning to our guidance. For Q3, we expect revenue to be in the range of $52 million to $56 million, where no material fixed license revenue expected to be signed during the quarter. Additionally, our Q3 revenue guidance absorbs approximately $1 million of headwinds in our professional services we saw in Q2. With no fixed license revenue forecasted in Q3, we expect gross margins to return to between 66% and 68%. Net loss to be in the range of $10 million to $13 million and adjusted EBITDA to be in the range of $1 million to $4 million. We are reiterating our revenue guidance for the full fiscal year to be in the range of $236 million to $247 million. This absorbs headwinds of approximately $4 million to $6 million related to professional services projects for the second half of the year, offset by higher-than-expected technology revenue. While we expect revenue to be consistent to previous guidance, we expect profitability and free cash flow to be better than originally projected. Subject to the macro risk we have discussed, we currently expect full year adjusted EBITDA to be in the range of $28 million to $34 million and expect free cash flow to be in the range of $25 million to $35 million. When looking at our liquidity, we plan to use our cash on hand to repay the remaining $60.1 million of our 2025 convertible notes due in June. Following this, we expect to maintain a cash balance above $70 million for the rest of the fiscal year. While this supports our day-to-day operations, a higher balance closer to, say, $100 million would give us more flexibility to invest in growth and strategic priorities. We will continue to use cash from operations to get to our optimal position and evaluate other capital structure options as needed. Overall, we are very pleased with the solid results in Q2 and our continued financial performance. I will now turn it back to Brian to close our remarks.
Brian Krzanich: Thanks, Tony. In closing, we're happy with our Q2 results and are feeling confident in our outlook for the full year while also recognizing that there are macro risks and uncertainties. We remain focused on execution and customer delivery, business process improvement and cost reduction and advancing Cerence XUI, while also accelerating the diversification of our business. Based on the current available information, we continue to believe in our ability to deliver on our Q3 and fiscal year 2025 guidance. We look forward to continuing to share our progress with you. I'll now open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jeff Van Rhee with Craig-Hallum Capital Group. Your line is open.
Daniel Hibshman: Hey, this is Daniel Hibshman on for Jeff Van Rhee. Thanks for taking my questions guys. Just on the metrics, maybe if we can walk through a little bit of the puts and takes. Billings deceleration towards 0%, but connected cars, sort of real nice uptick, acceleration from 5% to 10%. Maybe just puts and takes on the metrics, what are driving those and sort of which of those you see as sort of pointing to the future trajectory?
Tony Rodriquez: Hey, thanks for the question. Yes, when you look at it, you look at our overall volumes, they're in line with -- effectively in line with our expectations, maybe a tick up compared to what we thought for the quarter overall in volumes. And then the connected rate, what it shows again is that more and more cars are being connected within our overall volume that is done. So that's good to see. Remember that as we -- as more connected cars ship, it doesn't have an immediate impact on revenue, right? We get the billings in quarter as they ship, but they -- those billings are recognized over a period of time. So, it's good to see the increased connected rates. It's good to see those billings, and we know those revenues will come as we amortize that over the subscription period.
Daniel Hibshman: And then it looks like new connected revenue, if you back out some of the one-times that you were speaking to, Tony, it looks like new connected is up about $1 million sequentially, which is one of the larger jumps that's taken. And generally, that's from SOPs going live that take time to ramp. Is that fair to say then that whatever is ramping there, it would be fair to expect to continue to ramp into Q3, Q4 and drive some similar sequentials? Or is there anything onetime there? Just kind of walk me through the progression of new connected and the underlying business aspect.
Tony Rodriquez: Yes, sure. No problem. Yes, you're right. We're up about 8%, which is good to see. And again, remembering that, that revenue that's recognized this quarter is from previous billings that are now amortizing into revenue. So, as we think about our revenue going forward, we do believe, of course, that given the past billings that we would expect increased Connected revenue as we go forward.
Brian Krzanich: Just to give you a flavor, it takes a quarter or two, right? Because we get paid on the connected when the car sells and the dealer and the consumer basically connect the car. And that's when that contract starts. So that -- how long is the shipment out and lot time, things like that. And then before we actually see the revenue can be a little bit of time, too. So, I always look at it as like it's a quarter or so, maybe slightly more, depending on the vehicle and the geography before we see that revenue.
Daniel Hibshman: Yes. And then just in terms of -- another one for you, Brian, in terms of AI and where that's landing, I assume that, that's going to be showing its head in connected more so than in variable. So, in terms of that connected kind of the sequential uptick and as you're looking through the rest of the year, what's driving that the most right now? Is that units? Is that the AI functionality, other functionality getting in, in terms of impacting the PPU? Just sort of what are the drivers -- the key drivers behind connected -- and what -- if anything you can quantify either qualitatively or quantitatively in terms of the AI impact to-date?
Brian Krzanich: Sure. So, what you have to remember is that large language models, and so let's just call it AI is in almost everything we do. And so even the embedded, as we call it, or the nonconnected vehicle is -- has a large and this is what our Cerence Assistant large language model, the call embedded version is. It's sitting on the vehicle and even for just vehicle controls. You want to turn your floor heat on, you want to change the colors in your car, you want to turn on adaptive cruise control, you want to adjust the temperature, whatever those directions are, you no longer need to use a key phrase. You no longer need to say a specific set of words. You can just say, hey, my feet are cold. Hey, could you crack the window? It's able to then translate that to a large language model and do the car function. So, that has already penetrated the vehicle and doesn't require connectivity. The next place is where it does call outs. If you want to know, hey, where is the nearest restaurant, where is the -- what was the score of the football game last night, who won the hockey game against the Oilers and the Vegas nights last night, whatever that is, that's a connected car. And so all of those things are AI, right? They are driving consumer demand. They are driving PPU increases. And the more of those things that people want to do outside of the vehicle, things like scores or temperature, weather or drive connected and why we're seeing the connected increase. But AI is driving usage of the voice in the vehicle across the board, whether it's connected or not. Does that help?
Daniel Hibshman: Yes. Yes, that does help in terms of, obviously, when I think about the opportunity generally with calm and embedded, I don't think you could first intuitively think of that as the opportunity, but that makes sense in terms of how that is a component as well in the edge. So, a good thing to call out. And then just last question for me. In terms of how -- because a lot of people are going to be asking and wondering in terms of macro, where, if anywhere, would we be seeing that if it was showing its head? Would that be in the IHS units as in just sort of total units shipped in the industry trickling down to you? Would that be in pricing with your customers? Where, if anywhere, would we be seeing impacts?
Brian Krzanich: So, you'll see a little bit of it with both of those as and if those kick in, right? So, I mentioned in the call that we are starting to see some requests from OEMs, a few of them to talk -- have discussions about price reductions as their cost structures and all are getting pressured, right? We're going in rather than just saying, okay, we're going to give them an X% price decrease. We're trying to go in and say, hey, we think we can save you even more money. We think we can take some of your software offload. We can consolidate some of your software needs and give you a better price. And by the way, yes, we'll get some increased revenue and -- but save you money over the long run. And so we're trying to take it as a win-win. So that will be that standpoint and how we try and deal with pricing. volume-wise, we'll be, I'll basically say, victims of whatever occurs there around volume. So, if volumes decrease dramatically, we would be just directly impacted by that. Remember, we ship worldwide. So, a large number of our cars are shipped outside of the U.S. So even if there are tariffs and impacts in the U.S., it may not be directly correlated to what we'll see. If it's down X% percent, we may not be down as much because we sell a lot of cars outside or sell in a lot of cars outside the U.S., right? So, -- but that's where you would see it.
Daniel Hibshman: And that’s it from me. Congrats on the quarter and thanks Brian, thanks Tony.
Operator: Our next question comes from Nicholas Doyle with Needham. Your line is open.
Nicholas Doyle: Hey guys. Thanks for taking my questions. The first one, keeping the fiscal 2025 guide unchanged, you talked about a little bit coming out of the professional services and more coming from the higher tech revenue. Could you just be a little more specific on what that is and kind of why it's a little bit higher? I know you gave kind of some -- a lot of metrics around the Connected Services, but it sounds like it might not be coming from that just because of the lags, but any commentary there? Thank you.
Tony Rodriquez: Yes. No problem. Yes, as we've talked about the last -- this quarter and last quarter, we're seeing a little bit of headwind in the PS. But as you mentioned, we did not adjust guidance for the full year. We still think we'll hit that range. And so if we're not hitting there, where is it coming from? It's the tech. We are up probably a little bit more than our original plan on the connected side. But the other piece is really from the license volume that we're seeing. We saw a little bit of uptick in -- compared to expectation in license volume in Q2. Maybe some of that had to do with some of the production levels for getting prepped for tariffs, but we did see that. So, it's really coming from the license business.
Brian Krzanich: And don't forget, one of the key factors that we're doing very differently than a year ago and was especially evident this quarter is we're really limiting the amount of prepays or as it's called in the discussion, fixed contracts. And by limiting those, we're also getting less of a discount in those spaces because we're being able to be more competitive in that space. And we're not giving as many discounts, right? So, we did $20 million-ish, I think it was like $21.3 million this quarter, and that will be it for this year. Prior years, the numbers were quite a bit higher, and those came with even bigger discounts. So, by just reducing that, it increases our effective price. But it's really because we're not doing as much of this pull-in of contracts with big discounts.
Nicholas Doyle: And it makes sense. I think we could see that a little bit in the gross margins coming through. You had a press release last month with MediaTek for your Edge solution. I guess what was the -- if there is, what was the missing piece that MediaTek is the partnerships bringing to you with that Edge solution? Thank you.
Brian Krzanich: Well, it's really a three-way relationship. It's NVIDIA, MediaTek, and Cerence. And what we're working together, so MediaTek and NVIDIA are working together on cores that are directly related to automotive that have the right pricing and go-to-market within the automotive space. So, they're building those SoCs. And we're helping them and they're helping us by integrating our software and making sure we optimize together for performance, right? There's a lot of things we can do around latency, around overall performance, power, amount of memory required, all of those kinds of things that if we work with the SoC providers, we can optimize that, and that then makes it lower cost for the OEM and the Tier 1 integrator, also makes it simpler, right, part of why we don't need as much professional services. So, that relationship is really a three-way relationship. NVIDIA and MediaTek working on the SoC and then us working with the combined group there to really deliver the software stack.
Nicholas Doyle: Thanks. And then if I could just ask one more. On the lawsuit, I guess, what are you really trying to achieve going into Microsoft who are also a partner to you guys. So, I'm just wondering if it's trying to set a bit of a precedent here as other start-ups are moving into these voice assistant space. And I understand that it's specific to text to speech. Thank you.
Brian Krzanich: Yes, I mean, what are we trying to achieve? I mean we're protecting our intellectual property, right? We you as a shareholder are investing with us on the development of this technology and text to speech and wake-up word and a lot of those IPs were foundational to Cerence, and we continue to advance those and really drive those. And so we're really -- we're protecting those. And so our goal is nothing more than that. We don't have some other goal around other companies where we can only manage a certain number of these because we don't have infinite funds. And we're going with the ones that we feel like are the clearest to us that allow us to clearly state our position. But it's all about protecting our IP and protecting your investment.
Nicholas Doyle: Understood. Thank you.
Operator: Our next question comes from Mark Delaney with Goldman Sachs. Your line is open.
Mark Delaney: Yes, good afternoon. Thank you for taking my questions. Price per unit increased on a TTM-to-TTM basis, and you talked about some of the potential positive drivers such as AI in the vehicle, but then you also spoke on some pricing headwinds that have emerged in your prepared remarks. I'm hoping you can help us better understand how these various puts and takes will lead to PPU and where you think PPU may go over the next 12 to 24 months overall.
Kate Hickman: Hey Mark, Kate here. So, we just lost the connection to Tony and Brian briefly. They're dialing in, in one second. So we'll just have you repeat the question when they get back on.
Mark Delaney: Okay. Thanks. [Technical Difficulty]
Operator: Ladies and gentlemen, please stand by, your call will resume momentarily.
Brian Krzanich: Can you guys hear us now?
Operator: Yes, we can hear you now. Can you hear me? Yes, we can hear you. One moment.
Tony Rodriquez: So, they can hear me. I can't hear you.
Operator: Can you hear us now, Tony? Are you back on -- it looks like you're back online?
Tony Rodriquez: We can.
Operator: Ladies and gentlemen please stand by.
Brian Krzanich: Kate, can you hear us now?
Kate Hickman: Yes, we have you.
Operator: Ladies and gentlemen, please stand by, your call will resume momentarily.
Brian Krzanich: Can you hear us now Kate?
Kate Hickman: Yes, we can hear you.
Operator: And can you hear us now Tony, looks like you're back online?
Tony Rodriquez: We can.
Operator: Mark, could you go ahead.
Tony Rodriquez: We had technical difficulties on this side.
Operator: No problem. Mark, could you continue with your question?
Mark Delaney: Yes. Thank you. It's Mark Delaney with Goldman. A question on pricing. So, PPU increased on a TTM to TTM basis, and you have potential positive drivers tied to AI in the vehicle. But you also mentioned some pricing headwinds have emerged in your prepared remarks. I'm hoping you can help us understand the size of some of these puts and takes. And overall, where do you think PPU will go over the next 12 to 24 months?
Tony Rodriquez: Well, let me give you a little background on that on PPU. So, yes, there are puts and takes within there. So, -- and I think we're not going to give guidance on a go-forward basis. As we really work this metric, we will get, I think, better at our last call, we said, hey, we know that it's important to you guys and to us. And so we've developed this metric. So, the puts and calls would be this. So even if there is pricing pressure in the future, what Brian is saying is, hey, if you have more, let's say, a take rate on the technology stack or something, we can give that at a discount. But overall, that would still may drive a higher PPU. It could be plus or minus based on those two aspects of a bit of pricing pressure, but maybe an uptick in the take rate of the amount of technology. And then the other driver, too, is the overall volumes and then the amount of connected cars within that because, again, on average, over a period of time, if we have more connected cars, that price per that individual car will go up. So, we believe that there are pluses and minuses in this. And at this point, I'm not willing to give any guidance going forward. But again, it's a positive trend over the last trailing 12 months.
Brian Krzanich: And remember, we're reporting here an average number, right? So, this number is going to incorporate variance over time. And it's -- we're trying to learn ourselves how to use this to look at our operations and look at our overall business. So, we're trying to share this as quickly as we can with you guys, and you're going to have to give us a little bit of time to really start doing things like projections and forecasts and understanding it much beyond this. But we wanted to share it with you because we've been talking about it and promising.
Mark Delaney: Understood. And thank you for the disclosure that you did have on GPU. It is helpful. I also wanted to ask around the situation with Microsoft. Can you help us better understand what led to the lawsuit? You spoke to an earlier question, Brian, around trying to protect your IP. But I want to understand, are you seeing Microsoft start to compete more with you and have they moved into the vehicle space?
Brian Krzanich: Yes. So, it's an active lawsuit. I'm just not allowed to talk about much detail beyond this other than it's really about protecting our IP. And like we said in the earnings call, we have one and have had one with Samsung for some period of time. That's going through the court process. And these things take some time to go through this process. So, that's going through. There are some events that occur this year and into next year for that case, the Microsoft one has just started, but it's really about use of our IP and Cerence getting paid for it. And we're just protecting that, and that's what the suit is about. But I can't go into much other detail beyond that just because it's active lawsuit.
Mark Delaney: Okay. Understood. Separate from the court case, you did have an announcement you're working with them to bring ChatGPT to vehicles. Are you still able to work on a business basis--?
Brian Krzanich: Companies have disputes about contracts and legal issues all the time. And yet they're able to still work together. So we absolutely are continuing to work with Microsoft. The lawsuit is one separate issue. you're always having issues along with progress when you're working with other companies. And so we've had meetings even over the last day or so with Microsoft on some of the technical items. And so the technical teams are still heads down on bringing innovation and capabilities between the 2 companies. And the lawsuit is a separate issue that is really not affecting that side of the work together.
Mark Delaney: Understood. Thank you.
Operator: Our next question comes from Itay Michaeli with TD Cowen. Your line is open.
Itay Michaeli: Great. Thank you. Good afternoon everyone and congrats on the quarter. Just maybe a question on customer interest in some of your latest offerings. And I ask because as the automakers struggle with tariffs and all the disruptions to their new vehicle production business in the last few years, they're looking to shift, as you know, more towards earning revenue from their installed base through various services. And I'm wondering if maybe the tariffs could actually increase interest in your go-forward offerings and whether you're already having or seeing some of that in your latest conversations? That's my first question.
Brian Krzanich: We -- I don't know if you can tie to tariffs, right? I guess I'm too much of a technologist and believe that it's the technology itself. I mean we talked about multimodal, and we demonstrated this live in actual production. at the Shanghai Auto Show. I mean, it's really cool when you can pass by a street sign or an advertisement and ask a car, hey, what did that sign just say? And was there a phone number to call? Hey, was that the turn off for exit 23 and -- or did I miss it? And the system uses cameras and it can tell you exactly what's going on, right? So, we are seeing uptake. We have some really cool proofs of concept and development work going on with our OEMs that is slated to come out, I'll say, like late this year, early next year that starts to use this both in cabin and outside of cabin capability, this multimodal, things like, hey, I'm noticing you're blinking a lot, you're tired. Would you like me to find a coffee place to stop? Or would you like to rest? Those kinds of -- all those kinds of capabilities are really kicking in. Consumers like it. The OEMs like it. We're able to do a lot of this over the air because on the connected version, it's easy for us to connect it into the cloud-based supply. With new hardware, we're able to do it embedded on the vehicle. So, those will be the cars that are really delivering in 2026. So, I don't know if tariffs are really driving this. I do think, though, companies are -- if they're going to have to increase prices, they're going to have to find an effective way to provide more capability for that price, too. People aren't just going to accept pricing and price increases. And so I do think there's an opportunity for that. I don't see it right now. We're not reflecting any of that. But I think it's something I'm hoping we'll see as we move forward in this. And right now, everyone prices change on a weekly basis or tariffs change on a weekly basis and what's in and what's out. And people are just trying to absorb what's there and figure out how to work together. The good thing is the industry is working well together. Everybody is communicating. Everybody is talking, everybody is trying to help each other out through this process.
Itay Michaeli: That's great to hear. Thank you. And just as a follow-up, I was hoping maybe you could expand a bit more on some of the non-automotive opportunities you alluded to before, maybe size some of the opportunities for the companies and kind of how long could it take to see some kind of meaningful revenue emerging from these verticals? Thank you.
Brian Krzanich: Sure. So, we're looking for verticals where we can take the software expertise and capabilities and innovation that we already have and apply that over to applications that we think consumer demand will be there. So, one of the ones you saw or the ones we talked about here was with Code Factory and the VoiceTopping. So, this is taking what we can do in a car already around the large language models, both embedded and connected and applying that to kiosks, so -- and using a partner like Code Factory to go to market. So, I don't want to build a sales force that has the ability to go to 5,000 malls and airports in the world. I want to use a partner to go do that. So, we're trying to do this very cost effectively, which means we may grow a little slower than we possibly could if we did it guns of blazing, but I think is a smart way to do it. So imagine you're in a mall and rather than trying to find where the lululemon is or the whatever restaurant you want to find is, you just walk up and say, hey, can you point me to the lululemon or to the Tommy BAHAMA RESTAURANT or whatever or you're in the airport and you just -- you see a kiosk with a map and you go, where is C12. And it just shows it on the map and shows your walking path. Those are the kinds of applications, real-world applications that we think end users will appreciate and will deliver capability. And what's nice is if the lay in the mall changes, the stores change, we're able to -- we'd be able to do that over the air rather than having to come in and update the software directly. And so we can do those kinds of things as well and continue to increase the capability. So, that's really where we're starting. We're looking at some other verticals, but they're very nascent right now, just making sure understanding does our technology apply, do we think there's real demand for it, things like that.
Itay Michaeli: Terrific. That’s all very helpful. Thank you.
Operator: And I'm not showing any further questions at this time. And as such, this does conclude today's presentation. We thank you for your participation. You may now disconnect and have a wonderful day.